Operator: Thank you for standing by. My name is Jordan, and I will be your conference operator today. At this time, I would like to welcome everyone to the NexPoint Real Estate Finance, Inc. fourth quarter 2025 earnings call. After the speakers' remarks, all lines will be placed on mute to prevent any background noise. There will be a question-and-answer session. If you would like to ask a question during this time, please press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. I would now like to turn the call over to Kristen Griffith, Investor Relations. Please go ahead. Thank you.
Kristen Griffith: Good day, everyone, and welcome to NexPoint Real Estate Finance, Inc.'s conference call to review the company's results for the fourth quarter ended December 31, 2025. On the call today are Paul Richards, Executive Vice President and Chief Financial Officer, and Matthew Ryan McGraner, Executive Vice President and Chief Investment Officer. As a reminder, this call is being webcast through the company's website at investors.nexpoint.com. Before we begin, I would like to remind everyone that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are based on management's current expectations, assumptions, and beliefs. Listeners should not place undue reliance on any forward-looking statements and are encouraged to review the company's Annual Report on Form 10-K and the company's other filings with the SEC for a more complete discussion of risks and other factors that could affect the forward-looking statements. The statements made during this conference call speak as of today's date, and, except as required by law, NexPoint Real Estate Finance, Inc. does not undertake any obligation to publicly update or revise any forward-looking statement. This conference call also includes an analysis of non-GAAP financial measures. For a more complete discussion of these non-GAAP financial measures, see the company's presentation that was filed earlier today. I will now turn the call over to Paul Richards for the financial results. Please go ahead, Paul.
Paul Richards: Thanks, Kristen, and good morning, everyone. I will walk through our quarterly results, cover the balance sheet, and provide guidance for Q1 before turning it over to Matthew Ryan McGraner for a deeper dive on the portfolio and the macro lending environment. Fourth quarter results are as follows. We reported net income of $0.52 per diluted share compared to $0.043 in Q4 2024. The increase was driven by unrealized gains on our preferred stock and stock warrant investments. Earnings available for distribution came in at $0.48 per diluted share, compared to $0.83 in Q4 2024. Cash available for distribution was $0.53 per diluted share, up from $0.47 in the prior quarter. We paid a regular dividend of $0.50 per share in the fourth quarter, which was 1.06x covered by cash available for distribution. The Board has declared a dividend of $0.50 per share for 2026. Book value per share increased 1.4% from Q3 to $19.10 per diluted share, primarily driven by unrealized gains on preferred stock investments and stock warrants. Turning to new investment activity during the quarter, we funded $5.7 million on a loan with a monthly coupon of SOFR plus 900 basis points with a 14% floor, along with $22.5 million on a loan paying an 11% monthly coupon. We also funded a combined $17.4 million across two marina loans at a 13% monthly coupon. On the capital markets side, we raised $60.5 million in gross proceeds from our Series B preferred stock offering. For the full year, we reported net income of $2.09 per diluted share. When we issued our percent notes in October 2020, we were in a zero-interest-rate environment. The new notes carry a two-year term with prepayment flexibility, which positions us well in the declining interest-rate environment. We are pleased with this execution and look forward to terming out the remaining unsecured notes in 2026. On that note, we have $180 million of unsecured notes maturing in May, and we are actively reviewing several options to achieve the best execution and pricing on the refinancing. We also recently launched our Series C 8% preferred stock at $25 per share. Through the end of the year, we sold approximately 80,000 shares for total gross proceeds of $2 million and a total of $14.1 million through today. Lastly, subsequent to quarter-end, we entered into a re-REMIC transaction on our 2017-K62 D/B piece with Mizuho. Under this structure, we are selling the B piece and purchasing a horizontal risk retention tranche, which represents roughly 5.8% of the re-REMICs. This transaction reduces our mark-to-market repo financing. On a go-forward basis, the interest expense savings and reinvestment capacity are expected to be around $0.30 to $0.34 per share accretive to annual CAD. Moving to guidance for the first quarter, debt would be reduced by $75.2 million, and our debt-to-equity ratio would decrease to 0.83x, and the HRR tranche carries an expected yield of 18.5%. Earnings available for distribution are expected to be $0.40 per diluted share at the midpoint, with a range of $0.35 to $0.45. Cash available for distribution is expected to be $0.50 per diluted share at the midpoint, with a range of $0.45 to $0.55. We view this as a compelling example of actively managing our B-piece portfolio to unlock value and improve our capital efficiency. I will now turn the call over to Matthew Ryan McGraner for a detailed discussion of the portfolio and the current market environment.
Matthew Ryan McGraner: I am excited to speak to everyone today about NexPoint Real Estate Finance, Inc.'s pipeline and trends in our main verticals. I also want to thank our team here, as Paul just mentioned, and all of our partners for another quality quarter for the business and our shareholders with great execution. As it relates to our main verticals, I am very pleased with our portfolio of assets in this era of major AI disruption. Indeed, NexPoint Real Estate Finance, Inc. has been steady and intentional about our asset selection. Thankfully, NexPoint Real Estate Finance, Inc., and by extension, NexPoint Real Estate Finance, Inc., especially, is not investing in AI scare-trade assets or assets historically levered to these property types. We are intentional about our residential and self-storage exposure, both recession-resilient property types necessary for everyday life. The introduction of AI to these property types has only improved efficiency and margins in these businesses and not rendered them obsolete. Moreover, the demand funnel for our life science collateral is widening to AI companies themselves, which need the purpose-built lab-type buildings to house their compute infrastructure. Our Alewife project is a perfect example. Indeed, the introduction of AI to these property types has only improved efficiency and margins, and the demographic and AI tailwinds are real in elite educational districts producing this AI talent. Even our life science exposures are in first-to-fill assets. Lab and AI tenants could go to older converted assets for half the rent, but they must have the infrastructure and bones of these purpose-built, well-located assets, and they will pay for it. So let me start there with life science. For the quarter, our largest single-asset exposure in life science, Alewife Park, is now 64% leased at a 9% debt yield, with RFPs, LOIs, and leases now totaling 2.8x the square footage of the project. Momentum has materially increased since the Lila leases, and we expect this trend to continue to have the project fully leased in 2026, yielding a debt yield with a 12-handle. More broadly, certainly less expensive alternatives exist in the suburbs or in second-gen space. The first-to-fill buildings in elite academic ecosystems have the infrastructure and specifications tenants require. For one, health, wellness, and longevity of life were already rapidly growing trends before the latest AI disruption. Our basis in our collateral is 30% to 60% below replacement cost for these assets, and that is just replacement cost, let alone the need to justify a profit for a new life science development. In short, we really like our portfolio and where it is positioned, especially relative to comps, and the demographic and AI tailwinds are real. The second tenet of our thesis in leaning in when we did is that new supply over the near term is nonexistent. We believe each of these have a massive tailwind for purpose-built new life science product since the 1980s and do see the new lease inflection this year. On the residential front, we continue to work through the highest supply cycle since the 1980s. I detailed this on prior calls, but just to quickly repeat, we think multifamily rents will inflect positive with most of our market exposure occurring in 2026. We attribute this to four main factors: persistent structural demand; the cost to own a home is three times more than to rent an apartment in our markets; a 60% decline in new market-rate deliveries from the peak; and construction starts running approximately 70% below their 2020 peak, locking in a multiyear supply trough. Advances in health and wellness are adding longevity to the population, creating somewhat of a demographic backstop to demand. On the self-storage front, Q3 REIT earnings came in slightly above expectations, but revenue was flat to slightly negative year-over-year. Q4 and full-year performance are expected to show flat revenue and a 50 to 150 basis point decline in NOI. Occupancy generally remains under pressure, with industry average ending 2025 at 89%, down 210 basis points from the start of the year. The primary culprit is a sluggish housing market as home sales remain near multiyear lows and mortgage rates stay elevated, reducing a key demand driver for self-storage. Rates are the bright spot. However, after two years of falling rates—some down 20% from COVID-era highs—moving rates have been trending up since May 2025 and should help offset some of the occupancy weakness. Also good news: supply remains constrained at just under 3% of existing stock, and material cost inflation and high financing costs are deterring new development. Deliveries are already projected as low as 1% over the next couple of years, which should eventually restore pricing power and return NOI growth to the historical 3% to 5% range. Our NexPoint storage portfolio significantly outperformed the broader industry in 2025, finishing the year at 91.7% occupancy, exceeding its NOI budget by 3.2%, and growing NOI 13% over 2024. Looking into 2026, NOI growth is expected to moderate to 4%, reflecting portfolio stabilization, softer demand, and rate constraints on our two LA properties, but still notably higher than the broader industry. On the SFR and BTR front, fundamentals continue to outperform the broader multifamily segment generally. Our SFR collateral remains some of the best performing within our portfolio, with steady occupancies in the mid-90s, with positive new lease and renewal growth as well. In recent discussion with the agencies, and notwithstanding recent proposed regulation limiting institutional ownership in the sector, Fannie and Freddie remain open to finance build-to-rent assets. Indeed, we believe this is an immense area of opportunity should this void materialize. We have significant relationships and channels available to us to capitalize on these opportunities. We are reviewing approximately $5.555 billion of BTR and $90 million of multifamily product. Again, we are very pleased with the portfolio's performance and look forward to deploying more capital this year in 2026. Again, I want to thank the team here for their hard work, and now we would like to turn the call over to the operator for questions. As a reminder, if you would like to ask a question, please press star followed by the number one on your telephone keypad.
Operator: We will now open for questions. Your first question comes from the line of Crispin Love from Piper Sandler. Your line is live.
Ben Graham: Hi. How is it going? Can you hear me all right?
Paul Richards: We hear you great.
Ben Graham: Awesome. Thank you so much. This is Ben Graham in for Chris Love. Thanks for taking the question. Thank you. When do you believe you could be covering the dividend on a more consistent basis with EAD? I am wondering what the major factors are that are driving the EAD guidance range, and your confidence in the current level of dividend sustainability. Thank you.
Paul Richards: Hey. Great getting to talk to you. So, you know, dividend coverage and sustainability—yes, our EAD is a little below our CAD, but the majority of that is, again, the bridge from EAD to CAD and amortization of premium, some accretion of discounts, and depreciation on REO. We believe that CAD is the better indicator of dividend sustainability. We have continued to recommend a $0.50 dividend to the Board, and they have approved it every time. We feel very good on the go-forward, one, from the re-REMIC transaction we discussed; two, from the continued Series C raise and redeployment at a 200 to 400 basis point net interest margin for that number to grow over time as well. We feel well positioned for the future and for dividend sustainability.
Matthew Ryan McGraner: I will just add to that. We have consistently out-earned our dividend since our inception and have stable book value. We are going on the offensive and really like our cost of capital again to drive the results that you are seeing here, which, relative to the comps, we think is pretty good.
Ben Graham: Awesome. Thank you so much. When you look at your portfolio areas between multifamily, single family rental, self-storage, life sciences, etc., how do you expect the administration's focus on real estate and single-family affordability to impact some of the areas where you are invested? I am wondering what areas you are most excited about today. And then, if I could ask one more question, thank you.
Matthew Ryan McGraner: I think, at a time when there was no capital available, we leaned into life sciences when we did last year. Right now, where we are spending the most time is on the BTR and the multifamily front on the new construction and stretched senior side, providing B-notes and selling off A-notes for both new construction and new lease-up deals, both on the BTR front and on the multifamily front. As it relates to the recent proposed regulations, I think it is still too early to tell, but our organization has been involved in some of the regulatory process—if you will, lobbying process—in DC. From our exposure, we feel very good about mainly focusing on built-for-rent assets, which are adding to the housing stock and not detracting from it. We still think that there is going to be a need to provide capital in that space. What is more interesting, and I think more in the bull's-eye of the proposed regulations, are proposals on limiting institutional buyers from purchasing scattered-site SFR. How that all shakes out in terms of the financeability of homes off of the MLS is probably too early to tell, but I think the ABS market on the scattered-site front is still very active and still, I would say, wide open, even post the announcements. I think that market still continues to trade well, and the origination volume is still open. To the extent that it is closed, and scattered-site becomes a little out of favor with the broader lending environment because of political pressure, I do think that is an opportunity for us to enter that market and provide capital and liquidity, because we are obviously very comfortable with it.
Ben Graham: Awesome. Thank you so much for taking my questions.
Operator: Your next question comes from the line of Jade Joseph Rahmani from KBW. Your line is live.
Jade Joseph Rahmani: Thank you very much. Can you touch on the provision for credit loss that took place in the quarter—around $12 million—and what you expect on that going forward?
Paul Richards: Absolutely, Jade. This is Paul. We updated our calculation to be, again, more conservative, and now it includes a severe downside scenario to align with our peer group. I would say that one-third of it was just our general reserve component to the CECL provision, and the other, call it, 66% were on deals that we have already taken a CECL reserve on, which were on a few of the pref deals that we spoke about last quarter. On the go-forward expectations, I think we are at that trough, and there really are not any more problem areas on the pref book or in the portfolio. I think this would probably level off in 2026.
Jade Joseph Rahmani: Thank you very much. And just on the life science project, which has bucked the trend in the industry of a downdraft in leasing activity, could you give your thoughts as to what the project's specific characteristics are that drove the positive performance? And if you are seeing, outside of this project, any uptick in life science leasing activity that might make you look at other deals in that sector?
Matthew Ryan McGraner: Yes, you bet. I would say the Alewife Park project is one of the very few life science, purpose-built, on-grade facilities in West Cambridge on mass transit lines, with all the qualities and infrastructure tenants require. I think when this project—part of it—opened and was CO'd, it was probably into some of the worst market dynamics that we faced historically in life science. Lila Sciences needed space, and we were the only building that could, at that time, house their needs and their infrastructure. Then it is the cluster effect: once you get a good tenant such as Lila, backed by a very well-heeled investor base, those tenants continue to drive more leasing activity, and people want to be around them. So I think we might have gotten lucky, but I will take it. More broadly, across the portfolio, I think activity in the last 30 to 60 days coming out of JPMorgan in San Francisco has shown a lot of optimism. We are seeing more capital, and the CFOs and folks in charge of capital allocation decisions are finally making those decisions. I also think some of the biggest demands are coming from AI-designed life sciences. Whether it is life sciences or AI for life sciences, the widening of the funnel will come from AI. These AI companies with this compute infrastructure need the air quality, the power, and the infrastructure of purpose-built new buildings, and they have to go into purpose-built new buildings with all the specifications. I do not see that waning anytime soon.
Jade Joseph Rahmani: Thank you. Thanks.
Operator: Your final question comes from the line of Gabe Poguey from Raymond James. Your line is live.
Gabe Poguey: Hey. Good morning, guys. Thanks for taking the time. Can you give a little more detail around the loans you made in the quarter—specifically the $22.5 million loan at 11%? I assume the SOFR plus 900 loan is Alewife. Any incremental color around those loans would be helpful.
Paul Richards: Sure. As you mentioned, there was the one loan, which was our continued commitment on the Alewife project. The other two loans were roughly $10 million plus for a self-storage deal in Hialeah—very sound, very great attachment point—and a preferred position for two marinas that we really believe in, with the cash flow, etc. The last one covered at 13%. Again, we expect to find these types of deals using more of a rifle-shot approach, as Matthew mentioned, in our sales or pipeline funnels. You can expect to see more of the multifamily and these types of deals in the future.
Gabe Poguey: Got it. And then, Matthew, you talked about the potential regulation out of DC, but the opportunity set to go direct on build-to-rent—whether you are that solution capital, pref, mezz, etc. Can you talk about how big that sandbox could be for you as you think about what NexPoint Real Estate Finance, Inc. holistically looks at, what NexPoint Real Estate Finance, Inc. has touched, and how you think about how big that bucket could be over time?
Matthew Ryan McGraner: You bet. That is a great question. For our single-family equity business, they have roughly $550 million of BTR under contract and review about $200 million of new build-to-rent construction product in any given month. We are seeing all of that, obviously, in terms of deal flow, and we look at both the debt and the equity. It has been a steady pipeline and an origination funnel for us, and one that we are really trying to get the word out on—with the Walkers and Dunlops, the JLLs, the CBs—and say, “We are open for business on build-to-rent new construction.” We can play up and down the cap stack wherever the opportunity is and take over at CFO financing, or we can finance at CFO. We are not going to go into a greenfield project next to a cow pasture in the middle of nowhere; you have to be smart about the asset selection. We are looking mainly on the smaller side—50 to 125, 150 units—that just feel more like an extension of the community. We certainly think there is plenty to do there in 2026 and beyond.
Operator: There are no further questions. I would like to turn it back over to the management team for closing remarks.
Matthew Ryan McGraner: Thank you very much for all your interest and participation in NexPoint Real Estate Finance, Inc., and we look forward to speaking with you next quarter. Thanks again.